Operator: Greetings, and welcome to the CoreSite Realty Corporation Fourth Quarter 2013 Earnings Conference Call. (Operator Instructions) As a reminder, this conference is being recorded. It is now my pleasure to turn in over to our host, Derek McCandless, Senior Vice President and General Counsel. Thank you, you may begin.
Derek McCandless: Thank you. Hello, everyone, and welcome to our fourth quarter 2013 conference call. I'm joined here today by Tom Ray, our President and CEO and Jeff Finnin, our Chief Financial Officer. As we begin our call, I would like to remind everyone that our remarks on today's call include forward-looking statements within the meaning of applicable securities laws, including statements regarding projections, plans or future expectations. These forward-looking statements reflect current views and expectations, which are based on currently available information and management's judgment. We assume no obligation to update these forward-looking statements, and we can give no assurance that the expectations will be attained. Actual results may differ materially from those described in the forward-looking statements and may be affected by a variety of risks and uncertainties, including those set forth in our SEC filings. Also, on this conference call, we refer to certain non-GAAP financial measures such as funds from operations. Reconciliations of these non-GAAP financial measures are available in the supplemental information that is part of the full earnings release, which can be accessed on the Investor Relations pages of our website at coresite.com. And now, I will turn the call over to Tom.
Tom Ray: Thanks, Derek. Good morning, and welcome to our fourth quarter earnings call. Today, I'll discuss highlights of our financial results, review our sales results and update our view of market conditions. Jeff will then present a detailed review of our financial results, development activity and balance sheet position and then provide insight into our 2014 guidance and outlook. Regarding our fourth quarter financial results. We reported revenue growth of 1% sequentially and 11% year-over-year, adjusted EBITDA growth of 3% sequentially and 17% year over year, and FFO growth of 5.6% sequentially and 17% year-over-year. For the full year 2013 compared into 2012 we recorded revenue growth of 13.5%, adjusted EBITDA growth of 20.5% and FFO growth of 18.5%. Interpreting to our earnings growth in 2013 over 2012, we increased our adjusted EBITDA margin by 270 basis points from 43.2% to 45.9%, driven by a more profitable sales mix, including increasing revenue from breakered amp power and interconnection services. Regarding new and expansion TKD sales. In Q4 we executed new and expansion leases representing annualized GAAP rental revenue of $3.5 million comprised of 122 leases representing 26,276 square feet at an average GAAP rental rate of $132 per square foot. Total sales production of $3.5 million for the quarter is approximately 30% below our year-to-date average of quarterly GAAP rent signed. While transaction volume has continued to increase, in Q4 we did not sign any leases exceeding 10,000 square feet and only one lease exceeding 2000 square feet. This drove down our average lease size to 215 square feet in Q4, more than 35% below the average size of new and expansion leases executed in the first three quarters of 2013 and 45% below the average size in 2012. We attribute the decline in lease size to two factors. First, our transaction engine selling smaller blocks of space has shown accelerating strength with transaction count of new and expansion leases signed in 2013 increasing 34% over 2012. At the same time however in the second half of 2013, we saw fewer execution of larger leases due to what we believe is a combination of normal lumpiness in this category as well as certain correctible dynamics in our sales engine. Regarding pricing, the $132 average rental rate in Q4 new and expansion leases is 30% below our average through the first three quarters of the year. Geographic mix played a role in this dynamic. Specifically included in our Q4 results are 14 new leases signed at our newly opened NY2 site in Secaucus representing 44% of the square footage signed in the quarter at a GAAP rental rate of $122 per square foot. This reflects the aggressive pricing we anticipated offering as we open the data center and began to build sales traction in the community of customers we seek to create value in the asset. Outside of NY2, in Q4 our average GAAP rental rate in new and expansion leases was $140 per square foot or 8% below the trailing 12 month average. I will take a moment now to offer a higher level view of our sales engine in 2013 and our goals for 2014. Although our sales for 2013 reflects strong execution in certain areas, there are areas where we believe we should, can and will perform better. Over the past several years and throughout 2013 we’ve been pleased with our production in our network and cloud verticals. And as we mentioned the growth in transaction volume and total sales volume and leases on breakered-amp model and those generating a greater number of interconnections has been encouraging. However in light of the added resources we brought to bear we’ve not achieved the accelerated volume of new and expansion GAAP rents sold that we would expect from ourselves in these additional resources. Recognizing this, as we closed out 2013 we conducted a deep dive around our sales productivity. Our work identified two key areas where we believe we can increase the efficiency and effectiveness of the resources we’ve added over the past two years. The first area where we expect 2014 to materially strengthen over 2013 is that of staffing levels of our quota-bearing sales force. In 2013 we did not hire as many reps as we planned and we had higher losses among our in place quota bearing team than we had anticipated. This led to our number of off-ramp [ph] quota bearing raps not increasing materially during 2013. Our goal in 2014 is to execute upon the plans we made in 2013 and ramp up tenured quota bearing headcount steadily through the year. Specifically our current plans call for us to close out 2014 with approximately 35% more quota coverage than was in place early this quarter and on average through 2013. The second area where we believe we are moving the needle in 2014 is in sales and marketing leadership. As we sit on today’s call we've repositioned and rebuilt the leadership in sales and marketing and have a strong and motivated team eager to execute going forward The combination of the factors just discussed, increasing quota bearing staffing levels, having a strong leadership team in place and learning from our deep dive as the year ended, has us well-positioned to accelerate sales in line with our objectives from last year. We believe we are well-positioned to increase our efficiency and effectiveness in hiring, on-boarding, training, leading and retaining our quota bearing sales team. All key ingredients to executing upon the goals for the year. Key among CoreSite’s professionals is a new addition to our executive team. Steve Smith, senior vice president of sales. Steve has a proven track record of success throughout his career as a sales leader and deep industry relationships across the technology landscape We’re excited to welcome Steve aboard and are confident that he is well-positioned to lead our sales and sales enablement organizations going forward. Throughout 2013 we continued to see strong recent momentum in our network and cloud verticals, both in terms of transaction volume and the nature of the deployments brought to our platform increasing the value of our data centers. Specifically in 2013 the number of new and expansion leases signed in our network and cloud verticals represented a 27% increase over 2012. Related to our cloud verticals specifically, we are very pleased with cross customer adoption of our Open Cloud Exchange, which has added members at an accelerating pace since its launch in early 2013. Also in 2013 our content and enterprise teams continued to generate steady production relative to 2012. Offsetting our strong and accelerated success in network and cloud and our steady performance in content and enterprise, our systems integrator vertical reflected a material decline in 2013 in terms of both lease count and square footage. This decline materially contributed to our negative variance to expectations in the number of larger leases signed in the year. We believe that leasing volume in the systems integrator vertical is likely to rebound in the coming year and we will keep you apprised of this dynamic. To put 2013 into perspective, we will use as a frame of reference the analogy between our approach to building sustainable value in our data centers and building a luxury mall. Over the past three years we've had strong and accelerating success in landing the key anchor customers that we believe create the foundation for sustainable and attractive returns on capital. Transaction volume with the anchors has increased. We brought valuable new customer service offerings to our platform and more target customers are deployed in multiple CoreSite locations than ever before. We believe that our more recent sales mix has driven increasing profitability in our reporting -- reported earnings results with expanding margins supported by increasing revenue from interconnection services and breakered power which represented more than 60% of total power revenue for the full year, up from 50% two years ago. Continuing with the luxury mall analogy, we see the enterprise in our business as analogous to the inline store in the luxury mall business, a key ingredient towards monetizing the value of the network and cloud anchors we’ve built into our platform. As we look ahead into 2014 and beyond, we see strong opportunity to increase sales to enterprises and drive the same kind of growth in this segment that we’ve realized in network and cloud. We’ve had steady success in the enterprise segment in the past and we believe that now is the right time to add resources and focus around the enterprise as the natural next step in monetizing our strengths in network and cloud. As such, the majority of the open quota bearing positions we seek to fill in 2014 are in our enterprise segment, as our network, cloud and other teams are well staffed and producing solid results. We will update you on our progress over the coming year as we work to accelerate sales volume in the enterprise and drive a higher volume of sales overall. Turning to our view of the markets where we participate. In 2014, we will continue to watch the Bay area, Northern Virginia and New York New Jersey, following a year marked by lower rental rates for undifferentiated requirements. We view the Bay area as substantially similar to 2013 with minimal rent growth in 2014. We’ve seen a pickup in demand activity in New York New Jersey, although there remains a large supply of available capacity in that market. We believe that Northern Virginia may see moderately softening rents for un-differentiated requirements. As the number of suppliers has increased in the Yahoo! Sub-lease exposure weighs on the market. With respect to performance sensitive colocation, we continue to see absorption levels and total revenue per square foot as substantially similar to 2013. In general, across the broader data center landscape we expect 2014 to remain highly competitive across our markets. That said, we are encouraged by a reduction in speculative development and we believe this may lead to healthier pricing environment for all participants in 2015. In summarizing 2013, we were pleased to deliver strong financial growth driven by expanding margins, supported by interconnection services and a meaningful increase in the number of transactions for requirements that offer a more attractive pricing model. We were also pleased by our continued strong sales in our network and cloud verticals. As we executed on our strategy of winning [ph] valuable anchor deployments across our platform. As we look to 2014, we believe we have the right leadership team in sales, marketing, and across our company. We also believe that we have a strong opportunity to leverage our core capabilities to drive sales and profitably grow revenue to deliver attractive returns on capital. With that I will turn the call over to Jeff.
Jeff Finnin: Thanks, Tom and hello everyone. I will begin my remarks today by reviewing our Q4 financial results. Second, I will update you on our development activity. Third, I will provide an update regarding our capital investments and our balance sheet and liquidity capacity, and fourth, I will introduce our guidance for the year. Before I review the financials, I would like to point out that we have enhanced our disclosures in our earnings press release and quarterly supplemental around the components of our operating revenue. On Page 12 of our supplemental, we are providing more transparency into data center revenues by segregating the office and light industrial revenue separately. We have provided the new revenue breakout incorporating these changes for the trailing four quarters in the appendix on the earnings supplemental on page 22. Our fourth quarter data center revenues were $59.4 million, a 1.2% increase on a sequential basis and an 11.6% increase over the prior year quarter. Our Q4 data center revenue consisted of $49.7 million in rental and power revenue from data center space, up 1% sequentially and 11.9% year-over-year, $7.9 million from interconnection services revenue, an increase of 5.7% sequentially and 23.5% year-over-year and $1.9 million from tenant reimbursement and other revenues. Office and light industrial revenue were $2 million, an increase of 6.2% from the third quarter and 1.8% year-over-year. In addition to the more granular revenue presentation, we have included two new metrics on page 10 of our quarterly supplemental. Same-store turnkey data center monthly recurring revenue per cabinet or same-store MRR per cabby and occupancy rates to provide the investment community greater visibility around our data center revenue performance. As you can see, we have been able to drive an increase in same-store MRR per cabby of nearly 11% year-over-year on a fairly consistent occupancy rate. Our interconnection services revenue continues to lead our overall sales growth and grew nearly 24% over the prior year fourth quarter. Interconnection revenue now represents 13% of total data center revenue compared to 7% in the fourth quarter of 2010, which has meaningfully contributed to our growth in profitability over the same time period. Going forward, we will expect interconnection volume to continue to show strong growth as we further build network density across our operating portfolio. Q4 commencements including the build to suit powered shell at SV5 represented $4.8 million of annualized GAAP revenue, comprised of approximately 116,052 square feet at an annualized GAAP rate of $41 per square foot. Excluding the lease at SV5, commencements totaled 14,331 NRSF at an annualized GAAP rate of $116 per square foot. And for all of 2013, the GAAP rate per square foot was $157, excluding the SV5 build to suit. Renewals in the fourth quarter totaled 50,513 square feet at an annualized GAAP rate of $135 per square foot and represented mark to market growth of 3.5% and 14.3% on a cash and GAAP basis respectively. For the full year, cash rent growth of 3.6% was in line with our guidance range and reflects the market conditions over the last 12 months as well as the maturation of our portfolio. Churn in the fourth quarter was 1.9%, bringing the full year rate to 7.8% which came in at the higher end of our expectations. Our backlog of projected annualized GAAP rent from signed but not yet commenced leases is $4.3 million with approximately one-quarter attributable to leases signed at NY2. We expect approximately 60% of the backlog to commence in the first half of 2014. Of the remaining amount, 30% should commence in the third quarter of 2014 with the remainder commencing in the subsequent two quarters. Our fourth quarter FFO was $0.49 per diluted share in unit, an increase of 4.3% on a sequential quarter basis and a 16.7% increase year-over-year. Adjusted EBITDA of $28.3 million increased 3.1% sequentially and 17.2% over the same quarter last year. Our full year 2013 results reflect revenue of $234.8 million, an increase of 13.5% over $206.9 million from 2012. Our adjusted EBITDA of $107.8 million increased 20.6% from $89.4 million in 2012. As Tom mentioned, our adjusted EBITDA margin increased 270 basis points to 45.9% of revenue from 43.2% in 2012. FFO for the full year was $85.3 million, an increase of 18.5% over a 2012 amount of $72 million while FFO per diluted share in unit increased 17.4% year-over-year to $1.82. This represents revenue flow through to adjusted EBITDA and FFO of 66% and 48% respectively. Sales and marketing expenses in the fourth quarter were approximately 5.7% of revenue, up 40 basis points sequentially, although still below the estimated range of 6 to 6.5% that we previously provided due to the timing of hiring around sales and marketing resources. Going forward, we would expect this metric to be in line with the targeted range of 6 to 6.5% as we continue to strategically invest in and align our internal sales resources. Our G&A expenses were 11.5% of revenue, down 20 basis points from the previous quarter and slightly below our guidance of approximately 12% of revenue. We expect G&A expenses to be approximately 11% going forward. The only exception to this is the first quarter, which will be higher as a percent of total revenue, reflecting the elimination of the Chief Operating Officer role. The charge in Q1 will be approximately $1 million or $0.02 per share to FFO. As shown on page 18 of our supplemental, we spent $2.7 million during the fourth quarter and $8.6 million for the full year related to ongoing repair and maintenance expenditures. As of December 31, 2013, our stabilized operating data center portfolio was 81.7% occupied. Including leases executed but not yet commenced, our occupancy rate would be 83.3%. Now switching to development activity. 2013 represented our largest year of capital investment with three ground up developments underway concurrently as well as ongoing development activity in certain markets across our portfolio to meet customer demand. In early December, we delivered 18,000 net rentable square feet of turnkey data center capacity and the first computer room in Phase 1 of our new NY2 data center in Secaucus, New Jersey. The next two computer rooms of turnkey data center capacity are on schedule to be delivered in the first quarter and represent an incremental 35,000 NRSF of capacity. We look forward to capitalizing on favorable market conditions by expanding our presence in one of the largest addressable markets in the world. NY2 brings to market a secure, reliable and cost effective solution to a wide range of mission-critical, high performance data center requirements among enterprises and other key customer verticals including cloud, network and content service providers. At the end of the fourth quarter, the first computer room was 63.5% leased and we expect the positive momentum to continue at NY2 as we add additional capacity. The build to suit for a strategic customer at SV5 was completed and delivered on schedule in the fourth quarter and is now reflected in our stabilized operating pool. As we mentioned last quarter, while rent did commence upon delivery of the powered shell, we anticipate the customer will ramp up its power draw in the second half of 2014 as it builds its own data center infrastructure. At LA2, we are on track to deliver an additional 33,000 square feet of turnkey data center capacity in the first quarter, reflecting the solid demand we have seen in the LA market over the last 12 months and the corresponding increase in LA2 occupancy over the same time period. At our Reston, Virginia campus, we expect to complete the first phase of our VA2 development in late Q2 or early Q3. Our occupancy has increased at VA1 over the last 12 months and we will continue to focus on driving sales at this facility while the new capacity is under development. Based on the demand at VA1, we believe VA2 will provide our customers with the flexibility and scalability to accommodate their needs in the Northern Virginia market to support their growth plans. As we discussed with you last quarter, as we complete our development projects, we will see a reduction in the capitalization of interest, real estate taxes and insurance associated with the development which will result in a corresponding increase in the amount of operating expense to the company. This is something to keep in mind as you think about your models for 2014 as it relates to our development activity. Page 18 of our supplemental provides enhanced disclosure related to our capital expenditures by breaking out the amounts attributable to data center expansion, non-recurring investment, tenant improvement and recurring capital expenditures. Turning to our balance sheet, as of December 31, 2013, our debt to Q4 annualized adjusted EBITDA is 2.1 times. And if you include our preferred stock, it is 3.1 times. We anticipate our leverage to increase as we continue to execute our capital spending plans with the aforementioned development projects. As we have discussed previously, we target a stabilized ratio of debt plus preferred stock to annualized adjusted EBITDA of approximately 4 times. As of December 31, 2013, we had $174.3 million drawn on our credit facility and approximately $222 million of available capacity under the facility. On January 31, 2014, we entered into a new $100 million five year senior unsecured term loan which contains the same financial covenants and other customary covenants as our current credit facility. The term loan has an accordion feature which allows us to increase the total commitments by an incremental $100 million to $200 million. The proceeds from the term loan were used to retire the $58 million mortgaged on our SV1 facility and pay down a portion of the outstanding balance on our revolving credit facility. We also entered into a $100 million interest rate swap agreement to fix the interest rate in order to protect against adverse fluctuations in LIBOR. At our current leverage ratio the swap effectively fixes the interest rate at 3.23%. This financing enables us to secure an attractive interest rate, balance our debt maturities and create capacity on our line of credit to support additional investment. Our debt profile is now entirely unsecured which we believe is another important step toward our long term goal of obtaining an investment grade rating. Lastly, during the quarter we announced our Board of Directors had approved an increase in our dividend for the third consecutive year. We increased our dividend by 30% to $0.35 per share on a quarterly basis or $1.40 per share on an annual basis. This new annual rate represents an increase of nearly 170% from the annualized Q4 2010 level. We remain focused on maintaining our dividend payout levels to comply with our REIT requirements, balanced with our need to retain cash to invest in and grow our portfolio. And now in closing, I’d like to address guidance for 2014. I would remind you that our guidance is based on our current view of supply and demand dynamics in our market as well as the health of the broader economy. We do not factor in changes in our portfolio, resulting from acquisitions, dispositions or capital markets activity, other than what we’ve discussed today. As provided on page 21 of our supplemental, our guidance for 2014 is as follows. FFO per share in OP unit is estimated to be $2 to $2.10. Total operating revenue is estimated to be $260 million to $270 million. Data center revenue is estimated to be $255 million to $265 million. General and administrative expenses are estimated to be $28 million to $30 million or approximately 11% of revenue. Adjusted EBITDA is estimated to $120 million to $125 million. The significant drivers of this guidance are as follows. Estimated churn rate per quarter of 1 to 2%. Please note this is not net of increases in our rent growth as we will report those amounts separately. Cash rent growth on our data center renewals is estimated to be 1% to 4% for the full year, in line with our expectations for more moderate cash rent growth that we discussed last quarter. Total capital expenditures are expected to be $115 million to $145 million. The components are comprised of data center expansion, estimated to be $90 million to $105 million. This includes the expansion capital related to development activity at VA2 and the continued build out of NY2. Non-recurring investments are estimated to be $15 million to $20 million and include amounts related to our on core IT initiative, facilities upgrades and other capital expenditures. Recurring capital expenditures and tenant improvement are each estimated to be $5 million to $10 million. Now we’d like to open the call to questions. Operator?
Operator: Thank you. We will now be conducting a question and answer session. (Operator Instructions). Our first question comes from the line of Jordan Sadler with KeyBanc. Please proceed with your question.
Jordan Sadler – KeyBanc Capital Markets Inc.: Thank you and good morning out there. First question is regarding the leasing that’s sort of embedded in your guidance. I’ve got the operating revenue number of 260 to 270 that’s helpful along with the data center revenue, but kind of curious what’s embedded in there in terms of the net go get or speculative lease up and how you sort of devise that plan given sort of the restructuring of the sales organization recently.
Tom Ray: Well Jordan I think that first, and Jeff can give you the exact figures, but our backlog, our contracted but not yet commenced backlog going into 2014 or exiting 2013 is lower, substantially lower than it was the year before. And that’s 6 million versus – I’m sorry, what are the two numbers?
Jeff Finnin: I’m sorry, it was $4.3 million at the end of 2013 compared to 10.3 million at the end of 2012.
Tom Ray: So that’s a component of the build into 2013, and then really Jordan, the rest of it you can reverse engineer into what we think we're going to sell. I would say in terms of the quarterly trajectory as we said on the call the amount off ramp or the effective quota coverage in place at the beginning of 2014 was not substantially different than it was the average for 2013, and we do expect to increase quota coverage on the order of 35% ratably through this year. And we expect sales to come in roughly in line with the increase in quota coverage. That said, the quota coverage really relates more to or it’s more mathematically tied to the production of the smaller deals. One of the issues we've identified for ourselves and for the Street is that in the latter half, the last two Qs of 2013, we didn’t really sign any anywhere near as many larger deals as we have for a long, long time. And so it’s hard to predict that piece of our business going forward, I would say we’re underwriting a healthy bounce back in that business but it’s really hard to predict the timing.
Jordan Sadler – KeyBanc Capital Markets Inc.: Okay, that’s helpful. And then I noted the strength in the network and cloud business you discussed and it’s kind of continued and that’s sort of some helpful color. It’s interesting that the weaknesses on the enterprise side. Have you seen any pushback whatsoever from customers in the marketplace as it relates to the Open IX initiatives or just some of these other competitors coming into the space?
Tom Ray: Well, first, you know, the softness – the weakness in 2013 was in the systems integrator vertical, while our enterprise business stayed very constant. We are investing in it, we want to ramp it up and get the same kind of growth that we got over the last two years out of network and cloud but our enterprise business has remained very steady. We think we can do a lot more with it. But the negative variance to expectations in ’13 was in systems integrators and that, Jordon, wasn’t a market share issue that those guys went somewhere else because of Open IX or competition, our read of the market is that segment, the systems integrator segment, frankly just had a lot less demand that was executed in 2013. Then I think, more broadly, what’s the impact of Open IX, what’s the impact of competition? I really don’t think Open IX today, as we stand here today, has had any impact at all on our business. Both, in terms of anecdotes and discussions with sales team and with customers and in terms of clinical results. I think competition has gotten greater, has increased over the last handful of years, certainly the last two years and that’s, I think, played a role, right, that’s played a role in rents and we’ve been talking about that since we went public and so I think competition definitely plays a role. We do feel that going forward in ’14 we’re pretty optimistic.
Jordan Sadler – KeyBanc Capital Markets Inc.: But you don’t see – so you’re saying you do see potential pressure in rents in the network and cloud segments?
Tom Ray: No, we really haven’t – you know, the competitive dynamic really plays out much more so in the undifferentiated area and there are – the difference between performance sensitive and undifferentiated is not a bright line and so there are some pieces of our business that I think have just not been impacted – the margin, the rent, the cross connect revenue per unit it’s just not been impacted and there are some other portion of the business that has been impacted over the last few years by competition. And all that said, I think we’ve gotten better and better and I do think our results show that we’re capturing a greater share of the more valuable stuff. The really issue is, the second half of the year we didn’t sign big deals and we believe that we will sign more of them again this year.
Jordan Sadler – KeyBanc Capital Markets Inc.: Okay. Thank you for the time.
Tom Ray:  You got it.
Operator: Thank you. Our next question comes from the line of Jonathan Schildkraut with Evercore. Please proceed with your question.
Jonathan Schildkraut – Evercore Partners: Great. Thank you for taking the questions. A few if I may. First, I just wanted to make sure I understood what you were saying about the charge with Jarrett. It’s about a $1 million charge in the first quarter and a $0.02 impact to FFO?
Jarrett Appleby: That’s correct.
Jonathan Schildkraut – Evercore Partners: Okay. Great. Because that is not something that we were previously modeling. I have a question for you, Tom. Just in terms of cloud, cloud development and CoreSite’s role in that process. You know, one of the things that we’ve seen, I think, sort of really high with cloud adoption is that there has been a ton of elastic compute if you will but more of a hybrid cloud has turned into a handful of SaaS based applications and then maybe cloud-based – proprietary cloud-based storage and a lot of that is occurring currently over the public internet and I think that over time there’s a vision here that you’re going to need higher security and higher performance and so I was just wondering how CoreSite plays into that and if that line is up with your perspective on cloud evolution? Thanks.
Tom Ray: We agree very, very strongly, Jonathan. And at the highest level we believe very strongly that the enterprise requirement, the cloud capability and the network capability are really three legs of a datacenter stool if you will, it’s no one is as profitable or as deep of a pool as bringing all those together. And we are convinced that on the network side of that equation SLA-based secured, private connectivity is currently vital to a number of workloads and applications and will increase quite dramatically, so, you know, you saw us attack that with the Open Cloud Exchange, it’s a Ethernet-based offering that provides an SLA private, dedicated, secure and rapid ramp-up solution. We are clearly aware of MPLS capabilities around the space in the network, we’re clearly aware of private IP and both in terms of the services that we offer, the solutions we offer around those technologies and in terms of our targeting of our customers and the anchors in our malls, we’re keenly aware of that and it’s a very high focus for us. And I would say, we feel like we’ve had a lot of success at it and we’re in very healthy conversations with the right people, the right groups, who drive this going forward and we’re very excited about 2014.
Jonathan Schildkraut – Evercore Partners: Great. As a follow-up question to that in terms of who the right folks are as you yourself, that value proposition, because we’re probably now talking about very large scale, you know, couple of cabinets, in order to provide that secure connection to give the high performance reach to the SaaS applications. Is that a sales process that goes through, you know, the network administrator or is that a C-level conversation for you guys and does that create a challenge for you as you look to add more some of the large footprint stuff, is it the same audience that you’re talking to or is it a different audience? Thanks.
Tom Ray: No, it’s an executive level conversation, it’s a platform level discussion for us and it has been for a number of years and nothing about that has changed. Jonathan, I didn’t really understand your question about the – is it an issue with the larger deals, can you explain that a little more.
Jonathan Schildkraut – Evercore Partners: Oh, I was just saying that, you know, one or two cabinet level discussion often doesn’t have to be a C-level discussion in the sale process and if you’re doing a large footprint deal that’s usually a C-level discussion. I was just trying to understand where the sales emphasis was, what are the same –
Tom Ray: Yeah, I would look at it differently, you know, Jonathan, I think the one or two cabinet deployment discussion that is not highly strategic to the customer is not a C-level discussion. What I mean is, look, if you’re going to – if Verizon is standing up private IP or our great relationship with Time Warner around their scalable products, their private and secure products, those deployments might be in a handful of cabinets but the discussion around the companies partnering together over those handful of cabinets across the platform that is an executive level discussion.
Jonathan Schildkraut – Evercore Partners: Great. Thank you for that insight. If I can ask just one more question, are you seeing any difference in sort of the customer mix as you see demand evolve in the New York market versus your historic markets?
Tom Ray: Well, I think that our approach to NY2 specifically is – and there’s no change to what we said in the past, it’s a big building and so it’s economically rational for us to drive sales with more volume early and we will cast a wider net as we do that and that wider net will have some deals that get done at less attractive margins and then as you get more of the capital generating revenue and EBITDA then you get increasingly selective. And so in the early days we’re very focused on strategic execution in New Jersey in exactly the same way we have been and remain across the rest of our portfolio. There are very specific clouds and there are very specific not only networks but network solutions that we’re targeting – you know that we’re targeting to get into the building and many of which have already committed to come to the building. And then beyond that, in the early days, we will do more undifferentiated type transactions and then as we get more of that fold we’ll get increasingly selective and look to drive the same store and that’s the same movie that’s played out in every asset we built over the last 14 years.
Jonathan Schildkraut – Evercore Partners: Great. Thank you for taking the questions.
Tom Ray: You bet.
Operator: Thank you. Our next question comes from the line of [Emmanuel Horshman with Citi.] Please proceed with your question.
Unidentified Analyst: Hey, good morning, guys. Tom, in the past you have talked about sort of staffing difficulties especially in the enterprise segment and you kind of had this discussion on stabilizing the go-to-market platform a couple of times now, what changes the sun runner, you know, made what changes in your search for those sales people you discussed or otherwise.
Tom Ray: Yeah, firstly, entirely fair question and frankly that we’re asking ourselves that question, is what led to our deep dive at the end of Q4 and led to our approach now to 2014 that we’re very excited about. And I think on the trail just what we’ve seen is some turnover from folks who had opportunity – if you’re head of sales you get the opportunity the CEO of XO Communications, there’s not much you can do about that after you hire them and if that person takes a key person that’s worked with him for 14 years, you know, that’s going to happen. The key is making sure that the people we bring in are extraordinarily excited about being at CoreSite in the role that they – and the opportunities at CoreSite and that they’re attuned to the size of our business and the method of working that fits well with that. And we’re incredibly excited about Steve, he’s just – he’s been here long enough for us to really know that we found something wonderful there. And as to the rest of the sales and marketing team, frankly most of that organization has been here for a little while and were either promoted up to or in some cases promoted back into roles they had two years ago, so that’s a pretty well-known quantity. And we just feel it’s effective and efficient and highly visible. And again, we are sincerely excited about next year, but your question is valid and that’s how we think we’re moving the needle going forward.
Unidentified Analyst: Thanks for that, Tom. Maybe focusing on New Jersey for another second. In your prepared remarks you discussed that those leases were – let’s call them – more highly incentivized than some others because you want to get those anchor tenants in there. How far off are those from sort of where you think a run rate or a stabilized rate would be for the asset.
Tom Ray: Well, you know, look, I think over time I would expect New York or New Jersey NY2 to be substantially similar to the Bay Area in Virginia. I would say, we disclosed, we signed 14 deals and some component of that are a little bit larger sized deployments obviously not too large because we didn’t get really large deals in Q3 or Q4 but a little bit larger size requirements with aggressive pricing. But another portion of the ’14 and a meaningful portion of the ’14 are those advance network deployments in those case there’s sometimes the two cabinets are free, and so, look – it’s very, very early to NY2, we’re building the components that we devalue but I would expect the overall ARPU and EBITDA per dollar capital NY2 to be not dissimilar to our other major markets.
Unidentified Analyst: And thanks. Just staying in New Jersey for one more second. Jeff, if we’re thinking about the operating expense ramp especially as you deliver another 35,000 square feet coming up here, when do those operating expenses have less of a detriment on your numbers or how, I guess, should we think about the yield increase stabilizing in that phase of [indiscernible]
Jeff Finnin: Well, I think as you look through 2014, obviously we’ll be bringing on those last two – or the incremental two will return this quarter. Essentially we have to staff that data center with the facilities and operations capability that we need from day one and so those dollars would be incurred here as we start the year. In terms of ultimately how do those – that’s stabilization, that’s occurring at the beginning of the year ultimately the objective being, as we continue to lease it up, to begin covering those operating expenses as we get through 2014.
Unidentified Analyst: Is it going to be incremental going through the year or is it on day one you have sort of full staffing and then that stays the same throughout the year?
Jeff Finnin: I think it’s pretty full staffing on day one but we don’t – at this point we don’t envision adding incremental capacity other than the two computer rooms that we’re talking about in Q1 and so essentially at that point we’re pretty well staffed with our people, as we hit the 2014.
Tom Ray: And the issue on the sales side is most of the those bodies are here but many of them are new so they’re still on ramp and they’re not yet productive and, you know, in the prepared remarks we said we expect in place quota coverage to increase 35% by the end of the year. And that’s really a function of a lot of the headcount that here burning in and getting off of ramp and picking up their quotes. And we have, I think, probably 50% more bodies to land in the seats in the sales – code bearing sales engine that are in place now. I would also say we have open racks and a lot of those are in interviews or offering letters go out the doors. So, look, we expect to be pretty well staffed across sales this quarter and expect productivity to ramp in through the year.
Unidentified Analyst: Thanks so much guys.
Tom Ray: You bet.
Operator: Thank you. (Operator’s Instructions) Our next question comes from the line of Dave Rodgers with Robert W. Baird. Please proceed with your question.
David B. Rodgers – Robert W. Baird & Co.: Yes, good morning. Tom, I guess a question for you. I’ve been going back to the enterprise vertical discussion, you know, you spent the last several years trying to root out a lot of the lower productivity, lower efficiency type customer’s requirements in the portfolio and letting those expire and now you go back to enterprise. And so, I guess, one is is can you continue to achieve the high level of productivity and the strategic customers through the enterprise vertical do you think or have you kind of gone under the portfolio looking at parsing out spaces where enterprise is maybe more appropriate than a strategic retail-oriented customer on a smaller basis, maybe – any color around kind of where the productivity would be in the new customers as you move forward?
Tom Ray: You bet, Dave. And again, we’ve really dissected the customer base, the customer opportunity, the market opportunity, the vast majority of what turned out as unattractive over the last couple of years was content and hosting. And the enterprise applications you seek are the ones that still need value benefit from the network access and the cloud support and in certain instances the other enterprises around them. So, we continue to grow our enterprise vertical in L.A. around media and entertainment. And those enterprises are highly interconnected to not on public cloud and storage and other utilities and capabilities and to networks but also to each other and that is very attractive business. And I’ll be honest, Dave, look, five years ago, we didn’t really pay attention to the difference, you didn’t really need to. We’re very aware of the difference now and we’re not saying that – I want to make sure that everybody is really clear on the distinction between enterprise and separately content or some components of CDM and in particular hosting. There are big pieces of enterprise business that are very attractive and there are some that aren’t and we spend our time on the former and not the latter. So, no, I think there’s a lot of fertile ground yet to be ploughed.
David B. Rodgers – Robert W. Baird & Co.: Okay. And then maybe last question, you kind of indirectly referenced it earlier but talking about cross-connect pricing. Any pressure anywhere that you’re seeing on kind of the more sensitive application related cross-connect pricing?
Tom Ray: I haven’t seen any difference in cross-connect pricing for the last – I don’t know how many years, Dave, you know, three, five, seven, eight, whatever. I mean, the big guys, the big customers with lots of cross-connects have always received very attractive volume discounts and I think they’ve received them from us and from all of our competitors, no matter how you rank the competitor. And I think I haven’t seen those discounts really change. They are deep and attractive and they haven’t changed. And the retail rate for the customer who takes a handful across mix, I haven’t seen that under pressure.
Operator: Our next question comes from the line of Barry McCarver with Stephens.
Barry McCarver – Stephens: Hey good morning guys and thanks for taking the question. And switch over to interconnection revenue for a minute. You highlighted that it continues to be a real strong driver for total revenue growth. Can you think about over the next couple years how do we think about that continuing be a driver? Do you look at the average cross-connects to see what the ongoing opportunity for that is in the next couple years?
Tom Ray: We disclosed our cross-connect volume growth rate. I don’t know if we put in our prepared remarks – this is something we just forgot but we have been communicating that every quarter and we are happy to continue to do so. And so I was just encouraged the modeling to assume that the average price remains constant and the historical trend around volume has been very consistent on the trail. And we will continue to update you every quarter on what that further trend is but it's been remarkably – the growth rate of volume has been remarkably steady for quite some time. I don't see industry dynamics that point to that changing. You will have to model whatever you think you should model. But the industry seems to be in line and we will continue to update that metric every quarter.
Jeff Finnin: And Barry, just to give you some granularity around that. I think in the past we’ve always disclosed, it’s been right around the mid to high teens and that's fairly – fiber cross connects in the mid to high teens.
Barry McCarver – Stephens: Well, I certain think it will continue – I just wanted to hear that you felt the same way and it sounds like you do. And one other question, in your prepared comments, when you were talking specifically about some of your markets, you said in the Bay Area, not much chance for rent growth there. I didn't catch why you said it, so is that just a function of capacity in the overall market?
Tom Ray: Well, yes but importantly it’s a function of the number of competitors with enough capacity to compete for business. So there are brokerage reports that come out each year from the larger real estate brokerage firms and they point toward a more favorable supply and demand dynamic in terms of total megawatts of supply versus trailing annual absorption. Those point to some strengthening in Virginia right now or in the Bay Area and in Virginia right now. I think our current experience is different than that. It's not negative, it’s not declining but it is – there are still a lot of competitors with enough capacity. And so I just think as long as that remains the case you’re not going to see rent growth by any material component. I do think that development – especially spec development has decelerated somewhat and I think that could point toward a more favorable environment in 2015 as some of the competitive with previously built spec stage there is now, running out of capacity and I think there could be a more favourable environment coming around next year.
Barry McCarver – Stephens: Thanks guys.
Tom Ray: Thanks Barry.
Operator: Thank you. Our next question comes from the line of Jonathan Atkin with RBC Capital Markets. Please proceed with your question.
Jonathan Atkin – RBC Capital Markets: I was wondering if you could give us a flavour of how much of your business now is multi-natural in nature and has that changed notably in the last few quarters? And then secondly in terms of the decision cycle on a like for like basis within the performance segment and the undifferentiated segments, are you noticing any changes in terms of the vision?
Tom Ray: Jon, first on the multi-market we will come up with the stat here. I can tell you – it continues to grow, and I think a lot of that is because of large numbers right, the larger your embedded customer base becomes, the more you’re working with those same customers across multiple a markets. so it continues to go up and we will get you that number in a minute. And then as to decision cycles, more broadly and in performance sensitive areas I have seen a really big change yet, I think we saw some enterprise decisions get deferred in the last half of last year. But I would say the network and cloud guys it's been pretty consistent. So on balance I take a little bit longer cycles around the enterprise and that’s it. Do we have the data on multiple market?
Jeff Finnin: Hey Jon, we have given this in the past, I just don’t think we included it in the script today. But in the fourth quarter we had 41 transactions out of our total of 12 of 2200 that were multi-market deals, that’s an increase year-over-year in about 40%. But that’s fairly consistent with what we’ve seen in Q2, Q3 and Q4 in terms of number of deals that have been multi-market. 
Jonathan Atkin – RBC Capital Markets: And then real quickly on pricing for kind of interconnect “retail high deals” compared to this behaviour are you seeing any changes in folks that you are competing with on those requirements.
Tom Ray: I think that it’s consistent with the past Jonathan. The really good deployments, the sophisticated providers, create long-term value, have been very competitive quite some time and remain very competitive. Undifferentiated is very competitive, there's been that others thought -- don't know -- the companies that come to a data center we are provider, because the Yankees that there have been place and I think pricing around those, experience is it’s firm. The smart guys have always thought really hard for the anchors. It’s bought comments you a data center provider. It’s been fierce, it doesn’t hang of the aggregate, it hasn’t changed in 10 years. it remains fierce. Once you have the anchor, the pricing around the in-line store that comes with the anchor has been very steady.
Jonathan Atkin – RBC Capital Markets: Great. Thank you very much.
Tom Ray: Thanks Jon.
Operator: Thank you. Our next question comes from the line of Omotayo Okusanya with Jefferies.
Omotayo Okusanya – Jefferies: Yes, good morning everyone. The first question is just a deep dive around this idea of big deals coming back in ’15. I know LinkedIN on their earnings call talked about moving to new leases of data centers base in 2015. But I am curious specifically what you are seeing that kind of give me that encouragement, that, that piece of the business comes back in ’14?
Tom Ray: Well, first I want to be clear about what we are seeing, we say big deals, we are not talking about super wholesale. For us the big deal was that 3000 feet to 10,000 feet deal. And I guess two dynamics around that. One is we used to get a fairly steady stream of that from our systems integrator vertical. I think we’ve got a good CAGR [ph] closer to it last year. And then of the other verticals, I think we have – I think in years past we have executed extremely well around those. Our statistics suggest we didn't do as well in that last year, and I believe that our ability to do that in the market for that going forward remains as attractive, no more, no less than it has been for the last 5 years. We just had a softening in our execution numbers and we feel good about get them back.
Omotayo Okusanya – Jefferies: Okay, alright, that’s helpful. And then the second question, I am just trying to understand that size associated with Jarret [ph], I mean when the press release came out in end of January it sounded like you were leaving to pursue other opportunities, you sounded very voluntary. And I am just kind of wondering exactly what the charges in the quarter?
Tom Ray: I think we stated in our way K that – 
Jeff Finnin: Yes, overall Tayo, Jarret [ph] as what a few of us have – are subject to employment agreements and just due to the reason for the departure there was some charges associated with some accelerating of some equity compensation primarily is what that charges related to. And so we will disclose that a little bit further in the 10-K that will be filed here in the near term.
Tom Ray: Just to be clear, I believe that we stated that he will receive severance benefits under this employment agreement. That’s what you are going to get.
Omotayo Okusanya – Jefferies: That is helpful. And then just one more in regard to the comment made earlier about the moderation in cash leasing spread. I was just curios are you seeing – is any particular market you are seeing more pressured in versus other markets at this point?
Jeff Finnin: Tayo, I think the thing to think about as we look into 2014 when we talked about our rent growth is when you look at our expirations that are currently scheduled in 2014 the dollar amount that we disclosed upon the expirations is about $152 per square foot. And so that number as compared to where we've been finding new and expansion deals, it’s just slightly under that number. I think if you look at all of 2013 our comments came in about $157 all in for 2013. So when you look at that, you can see the moderation just to give you some data point. Last year when we entered 2013 that dollar per square foot of explorations is about $117. So it's subject to not only market but also relative to the pricing at expiration of the individual leases.
Omotayo Okusanya – Jefferies: Got it. Okay. That’s very helpful. Thank you.
Tom Ray: You bet.
Operator: Thank you. Our next question comes from the line of Jordan Sadler with KeyBanc. Please proceed with your question.
Unidentified Analyst: It’s Austin Morrison [ph] here with Jordan. Just had two quick ones. Is the reduced data center developments in 2014, is that coincidental based on your applicable inventory today or is that – the overall industry dynamic I believe it's less than of 2013.
Tom Ray: It’s just pure lumpiness. We just few built really big buildings in two markets in Virginia and in New Jersey. So we just don’t need to go more there until the following year most likely. And then we still have – we think a year of inventory less in [indiscernible]. So it’s just purely a cyclical dynamics of developing a scale.
Unidentified Analyst: That’s helpful. And then just lastly could you provide with the backlog on signed, but not yet coming on fleet to on a cash flow basis.
Jeff Finnin: Yes, the GAAP basic that I gave in prepared remarks was up 4.3 million, that on a cash basis is $8.4 million heading into 2014.
Unidentified Analyst: Great. Thank you.
Operator: Thank you. There are no further questions in queue at this time. I would like to turn the floor back over to Tom Ray for closing comments.
Tom Ray: Thank you and thanks everybody for joining the call. As we look at 2013 and the rearview in ‘14 going forward – in ‘13 we’re pleased with the expanding margin, we’re pleased with the expanding profitability and ROI. From a sales perspective we are pleased with cloud and network – enterprise and other verticals were fine and systems specifically have a lot of demand. Going forward we really believe that we have a great team, most of that team on the marketing side actually use tenure. And we’re very excited about Steve, and frankly very excited about all the support quota bearing reps and all the support that we built around them. So we took a hard look at the end of the year because we didn't accomplish what we expected to in terms of total sales volume in the second half of the year. And as we said in the prepared remarks, we believe we can, should and will accelerate into ’14. So look, it's our obligation to produce the results. Rhetoric and anecdotes frankly I don’t think are relevant and we are very focused on the simplicity of blocking and tackling and producing numbers. And we'd like the investment community to watch the year unfold. Thanks for your time. Thank you for your support. 